Operator: Good morning, and welcome to the MTBC Second Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode [Operator Instructions]. After today’s presentation, there will be an opportunity to ask question [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Shruti Patel, General Counsel. Please go ahead.
Shruti Patel: Thank you, Kate. Good morning everyone. Welcome to the MTBC 2017 second quarter conference call. On today's call are Mahmud Haq, our Chairman and Chief Executive Officer; Stephen Snyder, our President and a Director; and Bill Korn, our Chief Financial Officer. Before we begin, I would like to remind you that certain statements made during this conference call are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended, and Section 21E of Securities Exchange Act of 1934 as amended. All statements other than statements of historical fact made during this conference call are forward-looking statements, including without limitation statements regarding our expectations and guidance for future financial and operational performance, expected growth and business outlook. Forward-looking statements may sometimes be identified with words such as will, may, expect, plan, anticipate, upcoming, believe, estimate or similar terminology and the negative of these terms. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties, many of which are beyond our control, which could cause actual results to differ materially from those contemplated in these forward-looking statements. These statements reflect our opinions only as of the date of this presentation and we undertake no obligation to revise these forward-looking statements in light of new information or future events. Please refer to our press release and our reports filed with the Securities and Exchange Commission, where you will find a more comprehensive discussion of our performance and factors that could cause actual results to differ materially from these forward-looking statements. Finally, on today's call we may refer to certain non-GAAP financial measures. Please refer to today's press release announcing our second quarter 2017 results for a reconciliation of these non-GAAP performance measures to our GAAP financial results. With that said, I'll now turn the call over to the Chairman and CEO of MTBC, Mr. Mahmud Haq. Mahmud?
Mahmud Haq: Thank you Shruti, and thank you everyone for joining us on our second quarter 2017 call. We are pleased to announced 55% revenue growth in the first half of 2017 versus 2016. With $16 million of revenue during the first half of 2017, we recently revised our 2017 revenue guidance upwards by $1 million to a range of $31 million to $32 million for the year. Even more exciting is that we have successfully integrated MediGain, a business we purchased in October of 2016. This successful integration enabled us to achieve positive adjusted EBITDA of $468,000 in the second quarter, marking our highest EBITDA as a public company and representing $780,000 increase from previous quarter. We are pleased to have achieved this important milestone and our forecasting continued positive adjusted EBITDA and margin expansion for the remaining quarters of 2017.I would now like to turn the call over to our President Steve Snyder to discuss our business developments in more detail. Steve?
Stephen Snyder: Thank you, Mahmud. Good morning everyone and thank you again for joining today's call. As Mahmud mentioned, we are pleased to have achieved important corporate milestones during the second quarter. In addition to significant revenue growth and strong EBITDA, we're also reporting our first positive quarter of non-GAAP adjusted operating income as a public company. These and other metrics that we'll discuss later in our call, reflect MTBC's strong momentum and reinforce our belief that we're very well-positioned to continue to lead in our segment of the market as we deliver increased value to our stakeholders. As we began this year, we were committed and remain committed to certain key objectives, including generating positive adjusted EBITDA, ramping up new business development efforts and enhancing our industry-leading platform to support our continued growth. With regard to adjusted EBITDA, as Mahmud mentioned, our second quarter was record setting for us. Additionally, we are on track for a record-breaking year of $2 million to $2.5 million of adjusted EBITDA. In terms of ramping up business development efforts, we're very pleased to have announced multiple new cross-referral relationships with industry partners since the beginning of this year. During the same period, our sales team closed new business contracts, representing more expected revenue than in any prior six-month period. And we believe our team is just getting started. Moreover, we've just recently leveraged the strength of our platform and our team to acquire another small billing company on a revenue share basis and the former owner of that company has joined as a Director of Business Development. We expect to build on these successes during the second half of this year. During the first half of the year, we also made strides at further enhancing our industry-leading platform to support our continued growth. We improved the strength and the scalability of our own business with the launch of MTBC WebSoft, which leverages state-of-the-art technology to streamline our day-to-day operations, allowing us to achieve significant operating efficiencies when acquiring and managing businesses. We also beta launched talkEHR, our next-generation electronic health records which is designed to leverage voice recognition and artificial intelligence to improve patient outcomes and simplify the user experience. As we move forward, our technology will continue to differentiate us from our competition and provide strategic inroads to do business opportunities. I'd like to now turn the call over to Bill Korn, our CFO, to provide you with a detailed review of our second quarter and first half financial results. Bill?
Bill Korn: Thank you, Steve. We are pleased to report that the revenue for 3 months ended June 30th, 2017, was $7.8 million, an increase of 49% compared to $5.2 million in the same period last year. This increase was primarily due to the MediGain acquisition. The second quarter 2017 GAAP net loss was $1.7 million which represents 22% of net revenue, an improvement of $1 million compared to a net loss of $2.7 million in the first quarter of 2017. The net loss for second quarter 2017 is largely a result of $1.5 million of non-cash depreciation and amortization expense. $1 million improvement in our GAAP net loss was a result of significant cost savings achieved during the past 3 months. Second quarter direct operating expenses declined by $1 million or 20% quarter-over-quarter which reflects the substantial operating efficiencies we've been able to extract since the MediGain acquisition, mainly by eliminating expensive subcontractors, and by moving work to high-quality, cost-effective offshore employees. We also reduced general and administrative expenses by $215,000 or 7% quarter-over-quarter due to lower transaction cost, stock-based compensation expenses and personnel expenses. There were also additional savings achieved during the second quarter of 2017 which will be fully reflected in our third quarter 2017 results. The second quarter 2017 GAAP net loss was $0.20 per share. GAAP net loss per share is calculated using the loss attributable to common shareholders divided by the weighted average number of common shares outstanding. Non-GAAP adjusted net income for second quarter 2017 was negative $77,000 or negative $0.01 per share, which is a 74% improvement compared to the non-GAAP adjusted net income of negative $298,000 in the same period last year. Our GAAP operating loss for the second quarter was $1.4 million. We haven't talked about non-GAAP adjusted operating income before, but I'm happy to tell you that non-GAAP adjusted operating income was positive $149,000, positive. We are very excited about this milestone. Achieving positive adjusted operating income is a significant achievement and again reflects the operating efficiencies we've been able to leverage with our new scale after the MediGain acquisition. Adjusted EBITDA for the second quarter of 2017 was $468,000, again a positive $468,000, or 6% of revenue. As Mahmud mentioned before, the second quarter 2017 adjusted EBITDA represents MTBC's highest quarterly adjusted EBITDA since our IPO and is a significant improvement compared to the adjusted EBITDA of negative $313,000 in the first quarter of 2017 and negative $814,000 in the fourth quarter of 2016. This shows that we have achieved significant cost savings within 2 quarters of acquiring MediGain, our largest acquisition ever. The difference of $2.2 million between adjusted EBITDA and a GAAP net loss in the second quarter of 2017 represents, reflects mainly $1.5 million of non-cash amortization and depreciation expense, $79,000 of stock-based compensation; $92,000 of integration and transaction costs and restructuring charges related to recent acquisitions; $57,000 provision for taxes; $280,000 of net interest expense; and $163,000 of increase in the contingent consideration liability. Our cash flow from operations was a positive $178,000 in second quarter 2017. Cash flow from operations turned positive at the same time as adjusted EBITDA turned positive. Management believes that our non-GAAP metrics are closer to reflecting our operating cash flow, and we will focus on driving positive adjusted EBITDA and positive cash flow during the second half of the year. Turning to the 6-month results, first half 2017 revenue was $16 million, a 55% increase over first half 2016. This increase is primarily due to the MediGain acquisition. First half 2017 GAAP net loss was $4.4 million compared to a loss of $3.3 million in 2016. The GAAP net loss is largely a result of non-cash amortization and depreciation expense of $3 million, an increase primarily as a result of the MediGain acquisition. Adjusted EBITDA however was positive $154,000 for the first half compared to positive $80,000 last year. We anticipate adjusted EBITDA to continue to grow through the rest of 2017 as we continue to achieve operating efficiencies based on a larger scale. As Mahmud mentioned, the company recently raised its full year 2017 revenue guidance by $1 million to a range of $31 million to $32 million, which would represent growth of 27% to 31% over 2016 revenue. Client retention at MediGain post-acquisition has been higher than our expectations, and we therefore believe that full year revenue will be higher than our initial guidance. With $16 million of revenue in the first half of 2017, we felt confident to raise revenue expectations. We're also reaffirming that our adjusted EBITDA is expected to be $2 million to $2.5 million for the year, reflecting continued positive EBITDA and growth over the next two quarters. During the quarter ended June 30th 2017, we completed two equity financings raising a total of $8.5 million after placement agent fees. May we sold 1 million shares of our common stock directly to a health care institutional investor at $2.30 per share, raising gross proceeds of $2.3 million. We also issued to this investor two million warrants with a 1-year life and an exercise price of $5 per share, could be exercisable for proceeds up to $10 million. Also in June we completed a public offering of approximately 295,000 additional shares of our series A nonconvertible preferred stock at $25 per share raising gross proceeds of approximately $7.4 million dollars. These shares traded on the Nasdaq capital market under the ticker MTBCP. We pay monthly cash dividends at the rate of 11% per annum. We have paid dividends to our preferred shareholders for 19 consecutive months and this week our Board of Directors declared dividends for the remaining months of 2017. As a result of these financings we were able to substantially pay down our debt facilities with Opus Bank. On December 31st 2016, we owed Opus $9.3 million and we reduced the balance to $5.2 million by June 30th, 2017. As of June 30th we had $5.8 million of cash. We still owe Prudential $5 million which is the remainder of the MediGain purchase price. Paid the first $2 million of the $7 million price last year, we are currently negotiating a payment plan with Prudential and Opus Bank, who as our senior secured lender must approve any payment we wish to make to Prudential. That concludes my review of MTBC's financial results and I'll now turn the call over to our chairman and CEO Mahmud Haq for some closing remarks. Mahmud?
Mahmud Haq: Thank you, Bill. We are excited by increasing profitability and operating cash flow since MediGain acquisition. MTBC has never been in a stronger position and we look forward to giving you future updates on our progress. I would also like to thank all of our team members in the U.S., overseas, for their hard work and great results. I appreciate the support of our shareholders, especially investors in a recent preferred stock financing. Finally I want to thank our physician customer for trusting us to help manage their practices. We will now open the call to questions. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions]. The first question comes from Keay Nakae of Chardan. Please go ahead. The first question is from Keay Nakae of Chardan. Please go ahead.
Keay Nakae: So could you give us maybe a little more color on what the retention rates has been for MediGain?
Stephen Snyder: Sure, we would be happy to, this is Steve. So you may recall from the perspective of MediGain, when we announced the MediGain acquisition beginning of the fourth quarter of last year, we had set the expectation of slightly more than $10 million in annualized revenues, so we're really pleased at this point when we look at the MediGain book of business, our revenues are about $13 million roughly on an annualized basis. So as Bill mentioned, the retention has really exceeded our expectations. As you may recall from the context of MediGain during the year leading up to our acquisition of MediGain, they had lost something like 50% of their business during the year or 1.5 year prior to our acquisition. So we're really pleased to have been able to stabilize that book of business by leveraging our team, leveraging our processes, our technology to accomplish a real stabilization of that portfolio of business and maybe with -- maybe equally exciting, to be able to integrate their sales team in a way that has allowed us to leverage those relationships, referrals to grow and develop new business and to expand our business even beyond that portfolio of customers.
Keay Nakae: Okay. And with respect to additional expense reduction, Bill, you mentioned some of that that occurred in Q2 that would be more fully reflected in Q3, can you quantitate that a little further?
Bill Korn: Sure Keay. So as always happens when we do acquisitions, we're always focused on preserving the quality of service that we're providing the client, keeping the people who are focused on the client relationships, and looking at ways to make things more cost-effective. So throughout second quarter there were some reductions in expense that happened. Those that happened on April 1st, you can see in the whole quarter, those that happened in mid-June, obviously you didn't really see. So there is probably at least $100,000 or $200,000 to direct operating cost and a similar amount of G&A expense which was reduced during the second quarter, but only partially reflected in the quarter, so you'll see all that be reduced during third quarter which will then drop to our bottom line.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Shruti Patel for closing remarks.
Shruti Patel: Thanks Kate. And thank you everybody for joining us and at this time we will adjourn our call and we hope everyone has a great day. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.